Operator: Ladies and gentlemen, thank you for standing-by and welcome to the TravelCenters of America First Quarter Financial Results Conference Call. At this time all participants’ lines are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. At this time I would now like to turn the conference over to our host, Miss Katie Strohacker. Please go ahead.
Katie Strohacker: Good morning and thank you for joining us everyone. We’ll begin today’s call with remarks from Chief Executive Officer, Tom O’Brien, followed by remarks from TA’s Chief Financial Officer, Andy Rebholz before opening up the call for your questions. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, May 07, 2015. The forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC’s website at www.sec.gov or by referring to the investor relations section of TA’s website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today’s conference call is prohibited without the prior written consent of TA. And with that, I’ll turn the call over to Tom.
Tom OBrien: Good morning everybody and thank you for joining our call. I’m going to discuss a few highlights of our first quarter results and provide an update on our growth strategy, then I will turn the call over to Andy for a more detailed look at the financials, before opening up the call for questions. I’m pleased to report our financial results for the 2015 first quarter, reflecting significant growth over the prior year quarter. As I will try to illustrate, the strength in these results is really in their broad-based nature, and by that I mean the positive contribution from both fuel and non-fuel activities, as well is from both sites we have recently acquired or the external growth portion of our growth initiatives, and from sites we’ve operated since before we begin, we begin acquiring sites in 2011. While internal growth projects and site acquisitions both remain significant priorities, we’ve executed on both fronts while simultaneously maintaining our commitment to great customer service and providing customers with competitively priced fuel and other products and services necessary to support and enhance their travel experiences. For the first quarter of 2015, EBITDAR was $106 million EBITDA was $50 million and net income was $60 million, each representing significant increases over the 2014 first quarter. Net income per share was $0.41 for the 2015 first quarter, as compared to $0.01 for the 2014 first quarter. Key factors in our positive financial results in 2005 - as compared to, excuse me 2015, as compared to 2014, included one, our acquisition program. And for the first quarter of 2015, sites purchased since January 01, 2011 contributed $16.6 million to EBITDA, up 56% from $10.6 million for the first quarter of 2014. Two, fuel gross margin, which was $20 million higher in the 2015 first quarter than in the comparable 2014 quarter. About $5 million of this $20 million improvement was derived from sites purchased since the beginning of 2011, while the remainder about $15 million, was derived from sites operated since before 2011 for which fuel gross margin increased 18%. Similar to last quarter, we continued our focus on making the most of opportunities presented to us by the fuel market and on avoiding lower margin fuel sales. Fuel gross margin reflects benefits derived from fuel price declines during the second half of 2014 and through the first few weeks of 2015. This environment helped us increase our 2015 fuel gross margin per gallon by 20% over 2014 to about $0.22 per gallon. Fuel gross margin per gallon for the month of March and through April, although April results are still preliminary at this time, were lower than the full first quarter level, and more in line with the levels we experienced throughout 2013. A third factor contributing to the strong results is the impact of our internal growth projects. In particular, those that are focused on TA’s competitive advantages of larger sites and truck repair maintenance services. Reserve-It parking, Roadsquad connect and Roadsquad on-site, each experienced increased interest from our customers this quarter. In total, our non non-fuel gross margin, net of site level operating expenses increased $11 million, with almost all of this growth attribute to sites operated since before 2011. Regarding acquisitions, during the first quarter of 2015 we acquired two travel centers, including one we previously operated under a management agreement, for $8.4 million and 26 convenience stores for $38.7 million. Additionally, to date during the second quarter of 2015, we’ve acquired 19 convenience scores principally in Kansas and Missouri, for $27 million. As of today, we have purchase agreements in place for, excuse me, two transactions covering two travel centers and 35 convenience stores, for an aggregate of $82 million. Including the sites we currently have under contract, our standalone gasoline station, convenience store operations will have grown from 34 locations at the beginning of 2015, to 114 locations principally located in Kentucky and throughout the Midwest. We intend to bring in all of these convenience stores as Minit Marts and to upgrade the gasoline, food and other customer offerings. We also expect to begin branding our truck stop travel stores, with the Minit Mart name. While much of our recent acquisition activity has been in convenience stores, we remain committed to continued growth of a truck stop network, and a number of opportunities are currently being evaluated. As previously discussed, we also expect to undertake a limited amount of new build truck stop development projects. To date, we’ve broken ground on one, new full-service travel center in Texas, and we expect, excuse me, expect to break ground on three others later in 2015 or early in 2016. And now Andy Rebholz our Chief Financial Officer, will point out a few financial highlights.
Andy Rebholz: Thanks, Tom, and good morning everybody. I’d like to make some more detailed comments about some key financial results for the 2015 first quarter. Please keep in mind that when I refer to same site results, I’m speaking to results at those sites we have continuously operated since the beginning of the comparable period in 2014. We reported EBITDAR of $107.5 million for the 2015 first quarter. An increase of $30.9 million or 4.3% versus the EBITDAR for the first quarter of 2014. EBITDA of $50.1 million for the 2015 first quarter was $29.5 million, or 143% higher than in the 2014 first quarter. We reported net income of $15.7 million for the 2015 first quarter, an increase of $15.5 million versus net income for the first quarter of 2014. These significant increases over the prior year quarter results primarily were driven by the $20 million increase in fuel gross margin for the quarter, the $6 million increase in contribution from our recently acquired sites and the $4 million increase in our core operating results that largely reflected the effects of our marketing and other internal growth programs. On a same site basis, our 2015 first quarter fuel gross margin increased by $17.5 million, or 19.3% more than in the comparable 2014 quarter. Our per gallon fuel gross margin increased by 19% on a same site basis, offset somewhat by a slight 1/10 of a percent decline in our same site fuel sales volume. We continued to attribute the decline in same site fuel sales volume to the negative effects on total fuel consumption, of the fuel conservation initiatives by truckers, including the use of more energy-efficient truck engines, as well as our efforts to avoid lower margin sales. We believe our same site fuel volume results indicate in particular this quarter that we are growing our fuel business before the effect of fuel conservation. Due in part to the success of our marketing and capital investment programs, as well as the continued improvement in the U.S. economy. Our non-fuel gross margin on a same site basis during the 2015 first quarter also increased by $18.4 million or 5% versus the 2014 first quarter. We believe that the increase in non-fuel sales reflects the continuing improvement in the results at sites we acquired in 2011 and 2012, as well as the impact of our various customer service and product expansion initiatives. Our non-fuel gross margin on a same site basis grew 6.5%, versus the 2014 first quarter. On the same basis, as a percentage of non-fuel sales, non-fuel gross margin increased by 80 basis points to 55.9% for the 2015 first quarter. Our site level operating expenses on a same site basis increased by $2.9 million, or 1.5% versus the 2014 first quarter. This increase reflects the higher volume of sales in the 2015 quarter. And although the dollar amount of operating expenses increased, the ratio of operating expenses to non-fuel revenues improved, declining by 170 basis points from the 2014 quarter, to 51.4% in the 2015 first quarter. Our selling, general and administrative costs of $27.6 million for the first quarter of 2015 were $0.8 million, or 3.1% lower than in the 2014 quarter. And now Tom and I will take your questions. Operator, do we have any questions?
Operator: [Operator Instructions] Our first question comes from the line of Alvin Concepcion from Citi. Please go ahead.
Alvin Concepcion: Hi, Good morning and congrats on a great quarter.
Tom OBrien: Thanks, Al.
Andy Rebholz: Al.
Alvin Concepcion: Hi, the first question is in regards to the fuel gross margins. It sounds like we are back to more historical levels in March and April, but beyond that are there other puts and takes we should consider when thinking about your fuel gross margin the second quarter and over the course of the year?
Andy Rebholz: Well, I think what you said is right. One thing that I would add to that as you are thinking about it, we have in the past talked about fuel efficiency being a bit of a headwind for us. And I think embedded in the first-quarter results at least, is a performance on volume that suggests that at least it’s either what we’re doing from a marketing and sales perspective, or growth in the sort of the overall level of trucking activity. Likely some combination of both that suggest that again for the first quarter anyway, we’ve overcome that.
Alvin Concepcion: All right. Thank you. And how would you characterize the competitive environment on the B to B side as well as the retail side in the quarter, versus the prior one, or even since the quarter ended, have you seen significant changes?
Tom OBrien: No changes. You know, we’re like cats and dogs and it’s always been that way and I expect it to continue.
Alvin Concepcion: Good to hear. And just a last question on the M&A environment. How are you doing the pricing environment, is it rational? And secondly, could you give us more insight into the criteria you’re looking for either strategically or EBITDA multiple ranges you are trying to stay within?
Tom OBrien: Sure. I haven’t seen much in the way of, you know, for lack of a better term, crazy. Certainly I haven’t participated in any of it. I think on the truck stop side, we’re looking in the, you know, mid single-digit multiples of EBITDA and so that has not really changed. You know, there is some time as you know of seasoning and typically takes us a few years to complete all the improvements and things like that, that really make a truck stop acquisition a true part of the network. On the C store side, I think we’re seeing what anybody is seeing, which is 6 to 8 times, but a faster ramp-up period. But that’s basically what we seeing here.
Alvin Concepcion: Great. Thank you very much.
Tom OBrien: Okay.
Operator: Our next question comes from the line of Bryan Maher from Brean Capital. Please go ahead
Bryan Maher: Good morning, guys.
Tom OBrien: Hi, Bryan.
Bryan Maher: Following up on Alvin who kind of took my question on M&A, can you talk a little bit about - and I know you have one project under development and I guess three more you’re looking to break ground upon. First of all, your single, mid single-digit EBITDA multiple, that’s the all-in acquisition and upgrade number if I’m not mistaken? And how do you look at that relative to greenfield development at this point in the cycle?
Tom OBrien: Yes. First you’re right. That’s all in. Greenfield development is a, I would tell you perhaps the multiples are little bit higher and the risk is a little bit higher for that individual site. We’re being even more selective with greenfield than we are with - excuse me - with acquisitions of existing properties. And perhaps the best way to put that - our selective bent in context is to recall that most of the, I think, all of the - most of the greenfield sites that we have, we’ve owned since 2007. And, so greenfield does tend to be a special situation, but it’s where we have a need in the network to fill a gap or on the right corner to meet perceived customer demand. And so to a certain extent the greenfield development also tends to have, in our view, a little bit of a halo effect on the overall network. And those are some of the things that go into our decision to move forward or not, but it’s very, very selective.
Bryan Maher: And on the acquisition front, I mean, with Love’s being kind of a different flavor of a product and smaller, and Pilot Flying J being so big, who are you bumping up against when you are looking at acquisitions of fixer-uppers?
Tom OBrien: Honestly, it’s family legacy more than anything. I don’t much see our largest competitors in that mix. And you know, what I do see from their public statements is - suggest to me they intend to grow by development or other kind of arrangements to take over of fueling operations at some existing sites, much less so in my experience have been in competition with us for, you know, acquisitions, just sort of flat out acquisitions.
Bryan Maher: And then just lastly, you made a comment regarding margins kind of returning to more historical levels for, I guess March and April, and I think you said 13. Is that correct, or did you mean 2014?
Tom OBrien: Okay. No. I meant 2013.
Bryan Maher: Okay thank you.
Tom OBrien: Yes.
Bryan Maher: Congratulations on a great quarter.
Tom OBrien: Thanks a lot Bryan.
Operator: [Operator Instructions] Our next question comes from the line of Mr. John Lawrence from Stephens. Please go ahead.
John Lawrence: Good morning guys.
Tom OBrien: Hi, John.
Andy Rebholz: Hi, John.
John Lawrence: Would you comment a little bit - congratulations on the comp and non-fuel at five, a little stronger than we expected. Can you walk across sort of the segments of the business and sort of give us a sort of breakdown of what was really strong?
Tom OBrien: Sure. I think that, you know, when you look at for purposes of this let’s call it the core business, so everything that we’ve operated since prior to 2010 and that may give you the best, excuse me prior to 2011. I would say that the only, the only business line if you will that maybe has some nipping at the heels, is the repair business. In that revenue has been affected a little bit, and when I say a little bit, very low single-digit percentages from some competition in tires. But the remainder of the business is, much of it is up double-digits and that’s store, the quick service restaurants and some of the ancillary revenues that we derive. So all in all, around a 5% increase in non-fuel revenue for those core stores, and you know, for those that are also included in same site but weren’t operated by us prior to 2011, it’s a little over 5%. So I’m pretty pleased with the things that we’ve done to push non-fuel revenue, in as much as it is a reflection of some of the things that we do on internal growth, and I think that’s an important take away from this call, that the results that we have are again a pretty based. New stores and existing stores, fuel, and non-fuel, but I think that’s an important set of takeaways from the first quarter results.
John Lawrence: Great. And secondly, that reconciliation to the EBITDA on the new stores that you give us, obviously that’s got and moved up to 90, so that’s got some of the C stores in that. If you went back and look at, I don’t know if you can strip this out for us, but if you exed out that C store and then gave that same presentation on the new stores since 2011 of those 65 stores, what would that number look like if you exed out? Just trying to look at that momentum and make a point that, I think in the last quarter it was like a 120% or 130% and it goes down to 60% and that’s because of the dilution of the new set of stores. Is that not correct?
Tom OBrien: I think that’s correct. I will tell you that in the first quarter the acquisition of C stores, the bulk of those happened near the end of the quarter.
John Lawrence: Yes.
Tom OBrien: And so there’s not much in the results numbers for those acquisitions.
John Lawrence: Yes.
Tom OBrien: It’s safe to sort of ignore that for now. We are looking at and thinking about doing a further breakout as that business get a little bit thicker.
John Lawrence: Yes. The point is right though that, that existing group is still doing very well as it moves through the maturity process.
Tom OBrien: Yes, absolutely.
John Lawrence: Great. Good luck. Thanks for your help.
Tom OBrien: Thanks a lot.
Andy Rebholz: Thanks, John.
Operator: Our next question comes from the line of Steve Dyer from Craig Hallum. Please go ahead.
Tom OBrien: Hallum. [ph]
Steve Dyer: Thanks. Good morning guys. Nice quarter.
Tom OBrien: Thanks, Steve.
Steve Dyer: I just want to follow-up on Brian’s question, just to make sure I am double and triple clear. Fuel margins it sounds like you guys are thinking about it, I mean, baring a rapid move one way or the other from wholesale fuel, kind of more in that mid fives as opposed to the high sixes or seven of last year. Is that fair to say?
Tom OBrien: As a mid fives?
Steve Dyer: Yes. You had alluded to 2013 levels for fuel.
Tom OBrien: You’re talking about a margin percentage.
Steve Dyer: Yes, I’m sorry. Yes.
Tom OBrien: I wouldn’t want to make a mistake, so I will leave it to you to translate, but 2013 was about $16.08 a gallon.
Steve Dyer: Yes.
Tom OBrien: And that’s really what I was referring to.
Steve Dyer: Okay.
Tom OBrien: Right now to be honest with you, it feels a little bit higher but I probably, last quarter if you recall I talked about the beginning of the first quarter, but we reported last quarter and there were eight days left in the first quarter. As of today there’s 54 days left in the second, so hedging a little bit probably because of that but that’s what I can tell you. Look at 2013 as a better guide than 2014, although we are a little bit ahead.
Steve Dyer: Okay. Thanks. And then what about non-fuel? I mean any reason to think it doesn’t kind of hang in this range?
Tom OBrien: None that I know of marketing. I’m feeling pretty good about things that we are doing in that space frankly, I alluded to a less than bright spot in the first quarter, being our shop revenue, but I think we have got good plans in place to overcome that nipping at the heels in the shop space too.
Steve Dyer: Okay. Thanks. Last one for me. The agreements you’ve entered into so far this quarter, it looked like a little bit of a higher price than what you’ve paid normally, and I’m looking at specifically the 2 travel centers and 35 C stores for $85 million, but it implies something north of $2 million per location versus kind of the $1 million to $1.5 million that it has been. Is there anything there or is it just different location, higher prices?
Tom OBrien: Yes. There’s nothing in particular, that doesn’t suggest that we’re bringing higher multiples. But there are differences between markets, that variation that you are seeing is within the range of that. So it’s the difference between, you know, Kansas City and Chicago or Bowling Green, Kentucky and Chicago. There’s nothing unusual in there.
Steve Dyer: Okay, thank you.
Operator: And our next question comes from the line of Brian Holland in from Sidoti. Please go ahead.
Brian Holland: Good morning guys, and thanks for taking my call.
Tom OBrien: Hi, Brian.
Brian Holland: Can you talk a little bit about your partnership with Shell? And where you are and where do you get to by the end of the year in terms of LNG lanes, and more importantly the impact that will have on your business.
Tom OBrien: Sure. We, as you know have an agreement with Shell for the development of up to 200 LNG lanes and up to 100 existing travel centers. Today and I think just recently the days are running together, but I think it was last week we announced the fourth one was open. We Shell are in active pursuit of a handful of others for this year or early next. The ramp-up, if you will, of demand for LNG is pretty much as expected. It’s a long process that [indiscernible] hasn’t yet reached a tipping point. We have talked to a number of customers that are more bullish about LNG for various reasons and I think like I said, we haven’t reached a tipping point but they’re still our discussions. My sense is that the decline in diesel price of late, may on the margin, have slowed some of the decision points within our fleet customers and probably in some cases its caused a cessation of talking about LNG, but I’m speculating a little bit. As far as the impact on our business, you know really the financial impact in the early going here will be pretty small, both from a profitability side, although we are paid a modest amount as lanes open. More importantly, there’s a near total lack of financial impact on the capital side because Shell is funding that capital. So it’s slow going, but that is, you know, as expected.
Brian Holland: Thanks for that color. And then just one final question on the Reserve-It parking. Can you give us any metrics on that and how that initiative is going?
Tom OBrien: Yes. The initiative itself is going very well. It continues to grow in acceptance and profitability. Probably first quarter, that added well in excess of $1 million. I think that the truck parking shortage in the United States has helped that a little bit, but it’s provided a market where we can provide an additional service to drivers. That is the actual reservation, that at least to date most of our competitors, probably without exception on the large competitors, haven’t been able to execute that kind of a program. It may have something to do with the fact that we have a lot more parking on average than our largest competitors and probably other factors as well, but again, it was a way of most importantly providing a service to our customers that they couldn’t find elsewhere and frankly find quite valuable.
Brian Holland: Okay, thank you.
Tom OBrien: Thanks, Brian.
Operator: At this time, we are showing no other questions are in queue. Please continue.
Tom OBrien: Well that’s it for us thank you for joining our call and we’ll be back to - about three months with that second quarter results. Have a great day.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for your participation and for using the AT&T executive teleconference service. You may now disconnect.